Operator: Good morning, everyone, and welcome to the Designer Brands Incorporated Reports Fourth Quarter and Fiscal Year 2021 Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please also note today's event is being recorded. At this time, I would like to turn the conference call over to Stacy Turnof with Edelman. Ma'am, please go ahead.
Stacy Turnof: Good morning. Earlier today, the company issued a press release comparing results of operations for the thirteen-week and 52-week period ended January 29, 2022, for the thirteen-week and 52-week period ended January 30, 2021. Please note that remarks made about the future expectations, plans, and prospects of the company constitute forward-looking statements. Results may differ materially due to various factors listed in today's press release and the company's public filings with the SEC. The company assumes no obligation to update any forward-looking statements. Joining us today are Roger Rawlins, Chief Executive Officer; and Jared Poff, Chief Financial Officer. Now, let me turn over the call to Roger.
Roger Rawlins: Good morning, and thank you, everyone, for joining us today for Designer Brands fourth quarter and full year 2021 earnings call. We are extremely pleased with strong end to our fiscal year during which we set several records. Our team did an incredible job all year, delivering results that exceeded our initial expectations, while strengthening the long-term fundamentals of our business. As always, we want to thank our associates for their dedication to the business because of their hard work DBI exited 2021 in a position of strength, despite the challenges in the operating environment. We've returned the business to a growth trajectory, delivering our highest operating income since 2014, and this growth is expected to continue as Jared will share with you a little later. As we continue to lean into the pivots we've made during the pandemic and return to strategic growth in our owned brands and our direct-to-consumer or DTC business. As I take a moment to pause and reflect, the pandemic created unprecedented changes in consumer behavior from the types of products they buy to how they shop. Prior to the onset of COVID-19, we had begun to evolve our strategy, but the market conditions over the past two years forced us to grow and change at an accelerated pace. Because of the actions we took, we now believe that we are well-positioned strategically and financially. We have grown our market sharing categories for the consumers demanding a broader selection, such as athletic, kids, and men's. We've retained our historic market leadership in dress and fashion as these categories make their post COVID-19 recovery. We've coupled these with our award-winning digital and omnichannel capabilities. And we now see the ability to turn the engines of our in-house design and sourcing capabilities back on to be a builder of brands moving forward. We are already seeing aggressive growth in sales of our owned brands in our DTC channels of DSW, both in-store and online Shoe Company and vincecamuto.com and believe that this is where our future growth lies. Our future growth will be supported by our core competencies and initiatives that make up the three pillars we've been talking about, customer, brand and speed.  Let's dive into how we capitalized on those in 2021, starting with our focus on customers. Increasingly throughout 2021, we've seen our customers coming back to us for dress and seasonal product. This is where our brand building expertise lies where our historic retail dominance leads, and we believe that we have on trend product and capabilities to meet this rebound in demand. According to NPD, while the rest of the market experienced a revenue decline in fashion footwear, DSW outpaced with a growth of 30 basis points in the quarter ending in January compared to the same period in 2019. Even with this rebound, we haven't taken our foot off the gas in categories where we've been gaining market share in the last two years. In 2021, over 60% of all shoes sold across North America in the footwear industry were athleisure. The growth of athleisure specifically provided us opportunities to grow our men's and kids categories within our U.S. Retail business to new record levels this year. And we grew sales across our enterprise in athleisure by 30% compared to pre-pandemic levels. In fact, according to NPD Group Retail Tracking Service for the quarter, DSW outpaced the remaining U.S. footwear markets significantly in men's, women's and kids, including both athleisure and fashion footwear compared to the same quarter in 2019, resulting in a market share revenue gain of 40 basis points. DSW's fourth quarter market share was the highest compared to the last two years. And given we are still underpenetrated to the athleisure category, we believe this growth will continue well into the future. Also in our U.S. Retail business and athletics specifically, we posted a comp of 14% in the fourth quarter of 2021 compared to 2020. Kids comped up 38% in the quarter compared to the same period in 2020 and total men's sales were up $40 million in the fourth quarter versus the same period in 2020, primarily due to increases in men's dress, boots and athletic. Not only have we followed our customer's style choices, we have also shifted our marketing investments to meet our customers where they are shopping. As a result, we significantly reduced our spend and costly and less productive direct mail and frequent use of gift with purchase and replace those with more productive investments in digital media, focusing on brand building and customer acquisition. In 2021, we reduced our total cost of marketing and promotions in our U.S. Retail business to 13.2% of sales from 25.4% of sales in 2020 and 16.1% of sales in 2019, roughly $91 million improvement year-over-year, which was partially redeployed into investments to support growth. This strategy has yielded great success and an increased number of sales delivery an all-time annual record in new member signups to our loyalty program and fueling further growth in our bottom line. Turning to brands. We continue to lean into the best names and best styles, starting with our owned brands, which include our exclusive brands in Camuto national owned and licensed brands to drive growth across our business. Our Camuto design and sourcing organization fueled the growth of our DTC sales, as well as a selective growth in our third-party wholesale business. Our long-term strategy is centered around growing our strength as a builder and grower of brands from our four major national brands to our top quality Camuto produced brands. Total DBI sales of our owned brands grew 69% in the fourth quarter of 2021 compared to 2020 and sales of our owned brands through our DTC channels, meaning DSW Shoe Co. and vincecamuto.com grew by 98% in the fourth quarter of 2021 compared to 2020. The gross profit DBI earns on the DTC sales of our owned brands was a major growth driver in the quarter and will continue to aggressively propel our growth into the future. Additionally, in 2021, the gross profit rate before royalties that we earned selectively wholesaling our national brands was the highest we've generated since our acquisition of Camuto. We are pleased with how our Camuto acquisition has been woven into the fabric of designer brands and expected to lead us through our next phase of growth. In addition to our owned brands, we also continue to prioritize our top 50 brand partners in our U.S. Retail business. Our track record of success with brand partners continues to allow us to secure a strong assortment, even in constrained inventory environments. For the full year, the top 50 brands, which include some of our owned brands, represented 77% of our sales in 2021 compared to 72% in 2020. Our focus on these top 50 brand partners also enabled us to achieve record gross margin rates at both DSW and Canada in the fourth quarter. At DSW, our top 10 brands within our top 50 brands sold over $1 billion in sales for the full year 2021, contributing 40% of our total footwear sales. Last, our third pillar, speed. As I just mentioned, our team is continuing to find ways to secure strong levels of inventory, despite industry-wide supply chain issues and our inventory coming out of 2021 is flat on a square foot basis to 2019, a strong and competitive differentiator compared to our peers. In the fourth quarter of 2021, while we certainly saw the impact of supply chain pressures, we were able to pivot and lean on our own production and our strong relationships with vendor partners. We will continue to pursue a strategy of going narrower and deeper in our inventory investments as the supply chain pressures ease and look forward to the even stronger anticipated benefits this will bring in gross margin, speed to customer and assortment differentiation. Another component of our ability to deliver product faster to our customer is our industry-leading omnichannel capabilities. This is what got us through the darkest times of COVID and continued to be a game changer for us throughout 2021. As customer shopping behavior changed and evolved, DBI leveraged its customer facing touchpoints to meet our customers where they were shopping. In 2021, our DSW customer facing digital platform well eclipsed $1 billion of demand for the first time. Digital demand at U.S. Retail was up 11% for the fourth quarter of 2021 compared to 2020. Additionally, for the year, VIP new member acquisition at DSW was up 48% compared to 2020 and 2021 saw the highest amount of enrollments in the program's history. Not only are we gaining new members, we're also retaining customers at a significantly higher rate than last year with retention rates improving 13 basis points in 2021 compared to 2020. You'll remember that last year we moved our Camuto and Canadian brands onto the same omnichannel platform that has been widely recognized as a leading platform for publicly traded footwear retailers in the U.S. This has further enhanced our ability to own customer relationships and analyze data, which we are utilizing to gain a deeper understanding of consumer preferences. Our DTC sales through vincecamuto.com were $27.9 million for 2021 compared to $21.3 million in 2020, and only $15.5 million in 2019. And in Canada, we are now the fourth largest digital player in the footwear space with significant headroom to grow from here. Finally, we continue to focus on driving higher profitability and productivity across our warehouse fleet in the U.S. Retail business. These stores fulfill nearly 60% of our total digital demand across our retail segments during the year. Turning to Canada. Total comps were up 42.3% in the quarter versus down 27.6% in the year prior. And this continued our trend of quarter-over-quarter improvement. As a result of the Omicron spike, COVID restrictions were reintroduced partly through the fourth quarter. This impacted store traffic, which was down 23.7% in the fourth quarter compared to the fourth quarter of 2019, slightly worse than what we saw in the third quarter. We saw improvement in our women's business in the fourth quarter versus the last quarter. And as we shared in Q3, our boot business came back as weather turned. Digital demand had another strong quarter, up over 100% to 2019 and representing 32% of total Canadian sales. Again, almost twice that of 2019. Before I turn it over to Jared, I'd like to briefly touch on our results. Our performance in the fourth quarter was consistent with our strengthening momentum throughout the year, and allowed us to deliver growth over the fourth quarters of 2019 and 2020 across with our retail segments. For the quarter, total DBI comps were up almost 37% compared to the fourth quarter of 2020. Gross margin was roughly 31% in Q4, up 870 basis points compared to the same period in 2020, as we leaned into our owned brands and saw strong sell through our full price products.  As we've transitioned into Q1, we've continued to see a recovery in our store business with the momentum of our consumers returning to stores, and we remain focused on maintaining our dominance in fashion and seasonal, while retaining the wins and market share we've gained an athletic and athleisure in recent history. Jared will share more about our financial results and our 2022 guidance in a moment. And I'm excited that we expect to see growth continue across our entire business. To conclude, we are enthusiastic about our ability to continue capitalizing on the strategic shifts we've made over the past several years. We are looking forward to sharing more details on the future of our strategic initiatives at our Investor Day, which will be hosted in New York in virtually on April 8th. It's important to note that we will continue to focus on three things. Number one, engaging customers with our brands. We will remain laser-focused on understanding their preferences and delivering products and experiences across a wide range of channels that allow them to express themselves. Number two, providing the best brands. Our ability to be a brand builder as well as to offer such a wide variety of assortment will continue to differentiate us from other retailers. And three, deliver and differentiated experience in products at speed. We are operationally aligned and continue to streamline our processes and our investments. With that, I will turn it over to Jared. Jared?
Jared Poff: Thank you, Roger and good morning, everyone. We are incredibly pleased with our strong fourth quarter and year, which set multiple financial and operational records along the way. We are exiting the year in a strong financial position and ready for the next phase of our growth. Please note that the financial results that we will reference during the remainder of today's call, exclude certain adjustments recorded under GAAP unless specified otherwise. For a complete reconciliation of GAAP to adjusted earnings, please reference our press release. Turning to our results. For the fourth quarter, sales increased 35% to $822.6 million compared to the same quarter 2020. For the full year, sales increased 43% to $3.2 billion. For the fourth quarter, total comps were up 36.9% versus last year's 20.1% decline. For the full year, total comps were up 51.6% compared to a 34.2% decrease in 2020. In U.S. Retail, comp sales were up 36.3% during the fourth quarter versus down 19.7% during the same quarter last year. And for the full year, comps were up 55% compared to a decrease of 34.9% in 2020. These results have been driven by our near-term strategic initiatives and our unique ability to quickly flex our assortment as customer habits and preferences shift. Our U.S. Retail store traffic continued a strong post-COVID recovery and was up 47% versus the same quarter last year. We continued to see store traffic improve, with February store traffic for our U.S. Retail business up 46% compared to 2021. Category comps continued impressive growth and improved sequentially compared to both 2020 in 2019. Athletic comps were up 35% compared to Q4 2019 and up 14% compared to Q4 2020. Also in the quarter, women's athletic was up 26% versus 2019. And men's athletic was up 53% compared to 2019 as we continued to capture market share. Athleisure comps were up 21% in the quarter compared to Q4 of 2020, and up 26% compared to Q4 of 2019. Athleisure sales penetration was 44% for the quarter compared to just 39% in the fourth quarter of 2019. Our key category of seasonal was again impressive in the quarter, with our boot category posting a comp of 7% driven by regular price sales comping at 14% for the fourth quarter versus 2019. Last quarter, we had said November was our best boot selling comp of the season thus far with regular price sales comping positive to 2019 as we saw boot demand shifting from Q3 to Q4. This continued to play out through the quarter and we grew boots sales revenue at DSW 12 percentage points faster than the rest of the market in the quarter ending January compared to the same period in 2019. To meet the strong demand, we leaned heavily on our owned brands and shifted product orders to support our growth here while also pulling forward goods initially slated for early spring. As Roger mentioned, we are very excited to see our dress category continue to recover, with women's dress down 16% in the fourth quarter versus 2019 and sequential improvement from down 34% in the third quarter, down 40% in the second quarter and 57% in the first quarter of 2021, in each case compared to the same period in 2019. When comparing to 2020, women's dress was up 118% in the fourth quarter. Men's dress also improved slightly to down 18% in the fourth quarter compared to down 19% in the third quarter and down 30% in the second quarter, in each case compared to the same period of 2019. To see these two categories, dress and seasonal, post such strong sequential recoveries throughout the year as exciting as it aligns perfectly with our own vertical capabilities. Therefore, we expect to continue to see strong growth in our DTC sales, which are our owned brands sold in our own channels of DSW, Shoe Company and vincecamuto.com moving forward. Kids was up 38% compared to Q4 of 2020, and up 44% compared to Q4 of 2019. Additionally, kids represented 8% of fourth quarter 2021 sales versus 6% in 2019. Significantly even as we have seen demand in stores accelerating, we did not see a slowdown in our digital growth in 2021. U.S. Retail digital demand for the fourth quarter was up 39.4% versus 2019. U.S. Retail digital demand for the fourth quarter was also up 10.8% compared to the fourth quarter of 2020. For the full year, U.S. Retail digital demand was up 35.2% compared to 2019 and up 12.9% compared to 2020. As we said last quarter, while Canada continues to be a few months behind the U.S. in their pandemic recovery, we have seen the improvement build, especially in boots as cold weather has taken hold. Total comps were up 42.3% in the fourth quarter compared to down 27.6% Q4 2020. Notably, the fourth quarter of 2021 was the highest comping quarter of 2021 and posted an all time fourth quarter sales record. For the full year, total comps were up 20.1% compared to down 26% last year and up 7.2% in 2019. The boot category, which got off to a later start posted a 12.4% comp to 2019 in the fourth quarter. Digital demand also continues to be strong, up 110% to the fourth quarter of 2019. Turning to Camuto. As we head into our next phases of growth in 2022, we expect to see the synergies of our vertical cable abilities really start to deliver increasingly stronger growth in our DTC business. This was noticeable in Q4, where we originally planned production to be up over a 100% year-over-year and we're able to meet and exceed this with actual production increasing by 111%. Heading into spring, we will continue to push production up. We expect 2022 spring production to increase in double digits. I would like to note that 2021 marked the year where a majority of the units that we produced in our Camuto Group were for Designer Brands owned DTC sales through DSW, Shoe Company and vincecamuto.com versus our third-party wholesale sales. This includes shoes produce under our national brands, but even more so our DSW exclusive brands. And while we are excited about and focused on selective growth of our wholesale business, the rationale for acquiring the expertise and infrastructure of our Camuto organization has always been to support the growth of our DTC business. And I echo Roger satisfaction with how well this integration has gone to reach this milestone. Total net sales for Camuto, including sales to DSW, continued their improvement in the fourth quarter and posted the strongest dollar growth year-over-year of any quarter in 2021. Sales were up $74.1 million in the quarter, up 42.1% compared to the same period last year. For the full year, Camuto net sales were $286 million up 15% compared to 2020. Wholesale sales were 58.6% in the fourth quarter compared to 41.3% last year, including sales to our retail segments, which totaled approximately $24.9 million in the fourth quarter compared to $10.1 million in the same period last year. Ultimately, we are ending 2021 in a strong position as we continue to grow our DTC business, while also seeing growth in selective wholesale relationships. In the fourth quarter, DTC sales were up 3% compared to the fourth quarter of 2019 and up 98% compared to the fourth quarter of 2020. Jessica Simpson sales in our own channels grew 82% in the fourth quarter compared to 2019 and Vince Camuto grew 103% in the fourth quarter compared to 2019, with substantial growth coming from Vince Camuto men's and growth in vc.com. Off of the successful refresh in Q3, vincecamuto.com continued to grow in Q4. Sales in the fourth quarter were up 50.9% versus the same quarter last year and up 55.5% versus 2019.  Vincecamuto.com ended the year up 80.4% for 2021 compared 2019 and up 30.9% compared to 2020, with the highest Q4 and full year gross profit rates it has ever seen due to one, instilling planning and buying disciplines from DSW to help lower markdowns and reduce inventory, and two, leveraging a common IT infrastructure and digital platform to improve conversion. Our consolidated gross profit increased 88.3% to $254.2 million in the fourth quarter versus $135 million in the prior year, and up 23.5% compared to fourth quarter of 2019 benefited by gross margin rate expansion and occupancy leverage. For the full year, gross profit increased over 240% to $1.1 billion compared to $311 million in 2020. This was also an increase of 6.9% compared to $999.7 million in 2019. For the first time in DBI history, we crossed the $1 billion mark in gross profit dollars and are excited to see the continued growth in 2022 and beyond. Our consolidated gross margin improved to 30.9% in the fourth quarter versus 22.2% in the prior year, driven by nearly a 100% increase in our DTC sales. Selling the brands we control through the channels we control coupled with continued strength in our full price selling of product from the industry's leading brands helped us to achieve this. Our 30.9% fourth quarter consolidated gross margin rate was also much stronger than even 2019, which was 24.8%. For the full year, consolidated gross margin grew to 33.4% compared to 13.9% last year and 28.6% in 2019. Canada also contributed to this growth as we pulled back promotional activity, tightened inventory management, and placed a opportunistic buys. At our U.S. Retail segment, gross margin was 31.5% in the fourth quarter compared to 22.4% last year and 25.4% in the fourth quarter of 2019, marking another record with the highest fourth quarter gross margin rate in DSW's history. For the full year, margin as 33.7%, a sharp increase compared to 13.5% last year and 28.7% in 2019. Merchandise margin of 48.3% at DSW was also our highest fourth quarter ever. We had delivered on strategic DTC growth plans with Camuto produced product that helped drive margin upside for DSW and therefore, at all of DBI. At DSW, owned brand sales increase their penetration from 11% of total segment in Q4 of 2020 to 17% of sales in Q4 of 2021. Additionally, regular price selling of all brands continue to drive margin with our markdown rate at DSW shrinking to 10.8% in the fourth quarter compared to 13.2% in 2020 and 14.5% in the fourth quarter of 2019. Canada gross margin in the fourth quarter was 30% compared to 15.2% last year and 25.5% in the fourth quarter of 2019. For the full year, gross margin was 32.7% compared to 15.7% last year and 32.1% in 2019. Camuto gross margin rate was 18.9% in the fourth quarter versus 22.6% last year and 20.2% in the fourth quarter of 2019. For the full, year gross margin was 23.3% compared to 14.6% last year and 25.5% in 2019. Full year margin rates before royalties were the best since its acquisition. However, due to the sales volume declines from exited brands, fixed royalty dollars delevered the overall growth margin rate. As we move forward, we continue to see our inventory management as a strategic strength and a differentiator for us. As our industry continues to chase limited inventory and suffer crippling supply shortages, our ability to self-produce product, as well as our scale and relationship with our vendor partners help to secure inventory more effectively than most. We ended the year with inventories up 21% to 2020, and flat to 2019 on a square footage basis. Total inventory was $586.4 million versus $473.2 million last year and $632.6 million in 2019, with a decrease to 2019 primarily driven by the elimination of our Affiliated Business Group. In the fourth quarter, consolidated adjusted SG&A for all of our businesses was $232.4 million up 19% last year and up 8% compared to Q4 of 2019. For the full year, adjusted consolidated SG&A for all of our businesses was $863.5 million, up 16% to 2020, but relatively flat to 2019. As we have seen throughout 2021, marketing and employee compensation were up over $35 million to 2019 as we strategically redeployed a portion of our record gross profit into customer and employee acquisition and retention. Our adjusted SG&A ratio for the fourth quarter was 28.3% of sales, well below last year's level of 32% and slightly above fourth quarter of 2019's level of 26%. For the full year, our adjusted SG&A ratio was 27% below last year's 33.3% and slightly above 2019's 24.5%. Depreciation and amortization totaled $18.7 million for the fourth quarter compared to $21.9 million in the prior year. For the full year, depreciation and amortization totaled $77.9 million compared to $88 million in the prior year. Adjusted operating profit for Designer Brands was $24.2 million in the fourth quarter compared to a loss of $57 million last year. Additionally, this compared to an adjusted loss of $7 million in the fourth quarter of 2019. For the full year, adjusted operating profit was $214.2 million compared to an adjusted loss of $424.1 million last year, and adjusted operating profit of $152.8 million in 2019. Adjusted operating margin was 2.9% of sales in the fourth quarter compared to it operating losses in the fourth quarter of both 2020 and 2019. For the full year, adjusted operating margin was 6.7% compared to 4.4% in 2019 and an operating loss in fiscal 2020. We are very proud that we continue to achieve such amazing levels of profitability and expect growth in 2022. We had $7.5 million of net interest expense during the fourth quarter compared to $8.7 million in the prior year. For the full year, we had $32.1 million of net interest expense compared to $23.7 million in the prior year. Subsequent to the end of the year, we terminated our term loan and refinanced the outstanding balance with our ABL Revolver. With this, we expect significantly lower interest expense in FY 2022. Our effective tax rate on our adjusted results was 29.5% in the fourth quarter versus 41.2% last year. For the full year, our effective tax rate was 27.9% compared to 37.1% last year. Total weighted average diluted shares for the quarter were 77.5 million compared to 72.4 million last year. For the year, total weighted average diluted shares were 77.3 million compared to 72.2 million last year. Fourth quarter reported net income was $14.4 million or $0.19 per diluted share, which included net after tax benefits of $2.7 million. Excluding these benefits, adjusted diluted EPS was $0.15 for the quarter. For the full year, reported net income was $154.5 million or $2 per diluted share, which included after tax benefits of $23.2 million. Excluding these benefits, adjusted diluted EPS was $1.70. We are very pleased with our liquidity position, which includes cash, cash equivalents, and availability under our revolver. We are in a healthy position with total liquidity as of the end of the year at $467.8 million versus $354.3 million last year. We had $225.5 million of debt at the end of the year versus $334.8 million last year. At the end of the year, we had $72.7 million of cash and cash equivalent versus $59.6 million last year and had $395.1 million available to draw on our revolver. As I mentioned on February 8th of 2022, after the end of the fiscal year, we terminated our long-term loan using the proceeds of a draw on our revolver. After paying back the term loan, we had $235 million of outstanding borrowings and $160 million available to draw on our revolver. Additionally, we have approximately $160 million in receivables on our balance sheet from the 2020 CARES tax refund due to us from the IRS. We are expecting the receipt of this receivable any day, which will be immediately used to paydown the vast majority of our ABL balance.  During the quarter, we had no new stores and we closed seven stores in the U.S. and four in Canada, resulting in a total of 508 U.S. stores and 140 Canadian stores. Looking ahead to 2022, we are introducing the following guidance for the full year. For full year 2022, we expect diluted EPS to be in the range of $1.75 to $1.85, up from $1.70 for the full year of 2021. And comps will be in the high single digits on top of an already strong comp of 51.6% in 2021. Comps at our retail segments are expected to be up 6% to 8% to full year 2021 and non-DBI wholesale sales are anticipated to grow 20% to 30% versus 2021. I would like to take a moment to point out the year-over-year comparables will be a little varied throughout the year, given the starts and stops that the post-COVID recovery took during 2021 and how each of our operating segments were impacted differently. We are anticipating the strongest year-over-year operating income gains to be in the beginning and ending quarters of this year, with the middle two quarters being more flattish to even slightly below last year. Spring should be stronger growth than fall as Q1 last year was still heavily impacted by COVID for all segments. The recovery really didn't kick in until Q2 for DSW, Q3 for Canada, and later in the fall for Camuto given product lead times and supply chain pressures in that segment. We have assumed a slight increase in our clearance sales penetration as we move throughout the year and supply chain pressures across the industry start to thaw, although still holding total markdowns materially below 2019 and pre-COVID levels. We are also planning a relative fully staffed store fleet throughout 2022, while we experienced more pronounced store staffing challenges last year, especially during the fall. Finally, don't forget that with the termination of our term loan, we expect interest expense is expected to be materially lower than last year, closer to $5 million to $10 million versus the $32 incurred during the full year of 2021. I want to echo Roger that we are excited to be hosting our Investor Day in New York on April 8th, and look forward to providing you with more details. With that, we'll open the call for questions. Operator?
Operator: Ladies and gentlemen, at this time, we'll begin the question-and-answer session. [Operator Instructions]  And our first question comes from Steve Marotta from C.L. King & Associates. Please go ahead with your question.
Steven Marotta: Roger and Jared, good morning. Wanted to just talk a little bit about the current supply chain and incremental cost that may have been incurred in the fourth quarter. What does incrementals will be you expect in, say, the first and second quarter and maybe for the total year? How that could net -- on a net basis effect gross margin, and also just the timing of flow of product into the stores? In other words, your ability to increase penetration of owned units and to the benefit of gross margin, timing on that for the year. Thanks.
Jared Poff: Hey, Steve. Thank you. Good morning. From a quantification standpoint, in 2021, we had roughly -- just under $20 million of incremental freight expense versus 2020. And again, almost versus 2019 as well, and about $12 million to $14 million of that was in Q4. Camuto, obviously, has a lot of direct expenses. So, we saw that, that really materialize in that segment. We are anticipating a similar posture, not really much incremental to that for the total year, but we are assuming that as we get into the back half of the year, there's a little bit of relief on that in total. I also would say from a receipt standpoint, you heard us say during the com -- during my script that we were able to divert some of our wholesale sales that we had initially projected to external parties into our own channels, because we saw the opportunity there, and we saw an opportunity in Q1 and we wanted to have the inventory to be able to meet that. And so that also is what drove the very, very slight miss on the sales. Instead of being flat, we were down $7 million in sales on a 800 -- large $800 million quarter, so less than 1%. But that's because of the eliminations, because we strategically chose to take product that was going to go in the wholesale channel and put it into our own DTC channels, especially as we get ready for Q1. So, that -- I'm actually really, really excited about.
Roger Rawlins: And then Steve, as it relates to just general supply chain, I think, as I said in our statement that the fact that we have inventories flat to where we were in 2019, strong position in our sandal business. I feel pretty good about how our inventory is positioned. And as you know, every single day it's fighting to get your inventory. And that's not really -- it's not any different than it's been for the last years. So, feel pretty good about our ability to still obtain inventory.
Steven Marotta: That's very helpful. And just to follow up, talking about two and maybe related topics. Is one of the reasons why Q2 and Q3 maybe flattish against a year ago from an operating income standpoint, the fact that sales in the year ago period materially benefited from stimulus, or is there another dynamic going on there? And then maybe you can talk about the benefits to the categories that are growing more rapidly to gross margin. In other words, it's fantastic that you increased your exposure to athleisure, particularly considering how under indexed you were previously and now with dress and seasonal become seemingly a little bit of the larger percentage of consumer wallet, that should also be to the benefit of gross margin in the current year, I would assume. Thanks.
Roger Rawlins: Yeah. Steve, I think, I'll take that second part and let Jared take the first. But I think the exciting thing for us is we've grabbed share in the athletic men's and kids space, really driven by our athleisure investments and that's new market share for us as the NP data demonstrates. But what's really exciting is that we're getting now our sandal and dress business back in a meaningful way, and it's not back to the 2019 levels. But I think if you listen to the call, if you think about in Q1 of last year, we were down 57% compared to the prior year. In Q2, we were down 40%; Q3, we were down 34%; and in Q4, we were only down 19%. So, you can see there's this continued progress that has been made. And we're seeing that continue to step as we've headed into 2022. So, being able to retain that share we've created in athleisure, while now getting back after some of those other categories that is huge for us. And as you know, that is where our bread is buttered with our Camuto acquisition is, that's the product we can make and we can drive the significant margin enhancement that we know that can get for us.
Jared Poff: And on the first question, Steve, we have looked every time from the current macro situation to all the ones prior on what our correlation is to public stimulus. We don't see strong direct correlations. We've got an above average income household. And while there are sometimes, some smaller correlations, especially maybe in our kids' business and things like that, we don't see extremely strong. What's really driving the differences is just when the recovery started and how it impacted us across our segments, you're seeing our year-over-year sales growth almost double in the spring versus what we are anticipating in the fall. And that's just because we had such strong, strong recoveries in the fall, and yet to come in the spring. The last thing I would add, and I mentioned it in my script, we have assumed that by fall, we have a little higher clearance penetration, which to be honest is actually a strategic advantage of ours. We have a clearance proposition that really, if you look at and listen to our last few calls, you hear how low that clearance penetration has gone. That in actuality could turn out to be upside. If we continue to see the industry in massive chase mode and really driving rate price sales, as soon as people get access to products, we may not hit those penetration levels, but that means that we're hitting it on the full price. We're continuing to hit it on the full price side, so we could see upside in that fall a little stronger than what we're thinking.
Steven Marotta: Got it. Thank you very much. I'll take the balance offline.
Roger Rawlins: All right. Thanks, Steve.
Operator: [Operator Instructions] And ladies and gentlemen, we do have an additional question. This comes from Gabby Carbone from Deutsche Bank. Please go ahead with your question.
Gabriella Carbone: Hi. Good morning, and thanks for taking my question. So, I believe you mentioned that traffic here in February up, I believe you said 46%, quite impressive. Just was wondering if you could provide us with any color on how you expect sales trends to play out through the year, particularly here in 1Q. Thanks.
Jared Poff: Yeah. As I mentioned in my script, we think -- and actually, as I just answered with Steve, we think sales year-over-year comparisons are materially stronger in spring than they are in fall. They continue to be strong and positive as we go through the year in total. But certainly, the strongest year-over-year growth is in spring. And in spring, Q1 by far is the strongest. And again, that is almost entirely because of just when the recovery really took hold. And as I mentioned in the script, DSW wasn't until Q2 in a big way, Canada wasn't until Q3 and Camuto, it really was - is late Q3 and into Q4. And then they had supply chain challenges on that, on top of that.
Roger Rawlins: And Gabby, I think one of the things that again, that we're really excited to see is the customer coming back to the physical location. And we think that will -- get that customer that has historically come to us through store only back into our brand, which is what we've experienced really in fourth quarter is as we -- as well as, as we've entered into 2022. And if you think about last year, some of the things we were doing digitally with the large Gucci buy we had, and obviously with a lot of promotional things we were doing with the Swoosh at that time, we see that there's going to be a more material shift toward our physical location selling and away from digital as we -- at least as we get into the first half of the year.
Gabriella Carbone: Got it. That's very helpful. And then, in the past you've mentioned you've identified a number of stores reclosure. Just wondering how we should be thinking about that over the next two years.
Jared Poff: Yeah. I think I mentioned on the last call that initial indication -- which again, we run the models every single quarter. And when we ran it and I put out that number of 65, that was before we really saw the recovery take hold. Once we saw that recovery take hold, and those longer range models get adjusted, that number came down quite a bit. What I would say is, and we're actually really excited to lay out our long range plan on April 8th at the New York Stock Exchange. And we'll have some color around our store fleet. What I would say is, I think you're more going to see a reduction in square footage that's coming from strategic shrinking of some of our stores, but still staying in neighborhoods, because we do see the omni benefits that having a store locally provide, not just for our DTC business, which is huge, but also as we leverage that for some of our branded partners, like we're doing already with the vincecamuto.com returns, and we're getting ready to launch with a couple other external brands, the ability to be their kind of omnichannel infrastructure in those local markets. So, more to come on that, and I certainly hope you can dial in on April 8th.
Roger Rawlins: Yeah. Gabby, it would be great to see you in New York. And I think we're going to -- at our Investor Day, we're going to show you what our store of the future looks like. That allows us to get the same kind of capacity we would've been getting in 20,000 to 25,000 square feet into 15,000 and tell different stories with these brands, because as Jared said, that's our real opportunity. And that could open all kinds of opportunities for us as we have competitors talking about opening stores, if we can get smaller and more efficient with inventory that creates other opportunities.
Gabriella Carbone: Great. Thank you so much. Looking forward to it.
Roger Rawlins: Thank you.
Operator: And our next question comes from Dylan Carden from William Blair. Please go ahead with your question.
Dylan Carden: Thanks. I'm sorry for some background noise here. I had a different question, but I want to stick with that question, Roger, shrinking the store. Does that mean -- is that code for effectively taking some square footage and dedicating it more to online fulfillment? Or would you actually be thinking of relocating some of these?
Roger Rawlins: Yeah. Dylan, I'm guessing you're at St. Patty's Day party. So -- but it's a couple of things. One is, we believe that to achieve some of our long range plans to get the cost per square foot that we need, or I should say the occupancy costs that we think we can get to, we need to get smaller in certain locations, which will either get smaller in the building we're in, or we will -- we'll look to relocate. And it's really about efficiency of inventory. As it relates to using those stores as fulfillment centers, we've had a lot of success with these hub stores, meaning we're able to flow key items into a group of stores, have depth behind them and take days out of the fulfillment cycle, as well as cost out of the fulfillment cycle. So, I think, it's really a combination of things is what I would say.
Dylan Carden: Excellent. And then my actual question was, can you provide any detail around kind of you're thinking about the category mix that underpins your guidance for the year, as far as sort of the continued recovery of dress and as events theoretically come back this year, what athletic ultimately lands the year at, anything to kind of help us understand the environment that you see out there?
Roger Rawlins: Yeah. No, we think that with the recovery that we are seeing in, let's just say non-athleisure footwear, which as you know that's our -- that has been our core business for the last 25 years. We might get back to more historical rates is what I think you would see. But that doesn't mean that we still can't get after the athleisure business. So, we're still anticipating we will grow athleisure as it relates to last year, but the real recovery and what we're excited about is what we're seeing in sandals and our plans we're putting in place for the boot fashion category as we go into the fall season. So, we'd say it'll be -- it would be closer to levels that you would've seen in 2019 more than it was in 2020.
Dylan Carden: Gotcha. And then, Jared, a modeling one here. The deleverage on the royalty dollar amount in the Camuto business, when do you lap that and how does that trend, I guess?
Jared Poff: We pretty much start lapping that in 2022, because as I mentioned our non-wholesale or our non-DBI wholesale growth is expected to be up 20% to 30%. So, we should start seeing leverage on those numbers, as we go through 2022.
Dylan Carden: Awesome. I got a card [ph] with my name on it. I'll talk to you guys later.
Operator: [Operator Instructions] Our next question comes from Jay Sole from UBS. Please go ahead with your question.
Jay Sole: Great. Thanks so much and good morning. Maybe Jared, I'm just wondering if you can talk a little bit about some of the little lines of the P&L that could be impacted by inflation. Freight, for example, store labor, rent. And maybe you could talk about marketing, what's your plan for marketing as percent of sales is, what's baked into the guidance? Thank you.
Jared Poff: Yeah. Happy to Jay. So, let me tell you, what's already baked in and then where I see opportunity and where I see some potential risk. We are assuming a similar kind of percentage of sales in marketing baked -- already baked into the P&L now. And again, as we saw in 2021, that's assuming we can fund that with the projected -- continuation of strong margin. If we are not seeing that play out the same way, then we'll pull the levers and make some changes there. But as of now, we're not expecting leverage or deleverage on the marketing line. On the store labor line, and I mentioned this in the call, we are expecting some deleverage, primarily it's because so many of our stores weren't open or not fully open for all the hours in 2021, as well as we just couldn't staff them the way we wanted to, especially in the fall when the labor market really, really tightened. And we are assuming that those are able to stay fully open and fully staffed, as well as we've baked in what is now a relatively healthy increase in our average hourly starting rate. So, that's already baked in there. On the other lines, I would tell you, we're pretty much holding the line. We do have some leverage on incentive compensation, because we always start the year assuming that we've got pretty much at par incentive compensation and anything above or below that is based on performance and what's actualizing. Where I see upside? I'm not sure we're going to see a massive freeing up of the labor market. So, while we've budgeted to be fully staffed and have all of those hours fully accounted for, I'm not sure we'll be able to place those for the whole year. And as I mentioned, I do think we've got some -- a lot of work to look at to make sure we're still getting paid the same way on those marketing investments. And that could free up some dollars, but I hope it doesn't, because we want to see the same kind of gross profit generation, that those are delivering.
Roger Rawlins: Jay, I think the other piece too, is when you think about channel shifts, as I had mentioned that the recovery of the physical plant and how we're seeing customers come back to the store, because you get that leverage of the fixed cost. Historically, that is a much more profitable channel for us, and that could create upside for us as we move throughout the year.
Jay Sole: Got it. Understood. Thank you so much.
Roger Rawlins: Yeah. Thanks Jay.
Operator: Ladies and gentlemen, at this time, I am showing no additional questions. I'd like to turn the floor back over to the management team for any closing remarks.
Roger Rawlins: Yeah. Thanks. Thanks everybody for listening in on St. Patrick's Day. And to all of our associates, we greatly appreciate everything that you have done to, to get us to this point and let's keep the momentum rolling in 2022. And we look forward to seeing all of our shareholders and interested parties at our Investor Day coming up in early April. Everybody have a great day.
Operator: Ladies and gentlemen, with that, we'll conclude today's conference call. We do thank you for attending. You may now disconnect your lines.